Operator: Good afternoon. My name is Carrie, and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Live Nation Entertainment Second Quarter 2014 Earnings Conference Call. Today's conference is being recorded. [Operator Instructions] Before we begin, Live Nation has asked me to remind you that this afternoon's call will contain certain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ, including statements relating to the company's anticipated financial performance, business prospects, new developments and similar matters. Please refer to Live Nation's SEC filings, including the risk factors and cautionary statements included in the company's most recent filings on Forms 10-K, 10-Q and 8-K for a description of risks and uncertainties that could cause the actual results to differ. Live Nation will also refer to some non-GAAP measures on this call. In accordance with SEC Regulation G, Live Nation has provided a full reconciliation for the most comparable GAAP measures in their earnings release. The release, reconciliations and other financial or statistical information to be discussed on this call can be found under the Investor Relations tab on investors.livenationentertainment.com. It is now my pleasure to turn the call over to Michael Rapino, President and Chief Executive Officer of Live Nation Entertainment.
Michael Rapino: Good afternoon. Welcome to our second quarter 2014 conference call. As we are now well into the third quarter, I'm confident we will have another record year in 2014 and deliver our planned revenue, AOI and free cash flow growth for the year and into 2015. All of our businesses continue to grow as we see strong global demand with all positive indicators on consumer spending for a lot of events. Against this backdrop, we are building global market share in Concerts and Ticketing, attracting new brands to our Sponsorship & Advertising platform, and have now fully aligned Artist Management with the rest of the company. As a result, our revenues are up 7% for the half and AOI, up 6% with all 4 divisions growing both top line and AOI through the first 2 quarters. To provide you an update on our core growth strategies, first, growing our global concerts market share, we have sold over 42 million tickets for shows this year, up 3% from this point last year. On the touring side, we're promoting 21 of the top 25 global tours this year, continuing to differentiate Live Nation as the partner of choice for touring artists. In festivals, we are continuing our strength in Europe and now building a much stronger portfolio in North America, where we now have 7 festivals that can attract over 100,000 people, up from just one such festival 2 years ago. This includes the Electric Daisy Carnival in Vegas with nearly 400,000 fans last month, making it the largest single weekend festival in the country. And globally, we will promote shows in 40 countries this year. We expect to have our strategy for Central and South America in place by the end of the year, establishing our next growth platform. Increasingly feeding the concert pipeline is our artist management position, and we expect over 40% growth in major artist shows promoted by Live Nation this year. With our repositioning of this business now complete, we have been in growth mode this year, adding such artists as U2, Lady Gaga, Alicia Keys, Miley Cyrus and Britney Spears, and are now managing over 250 artists. The Sponsorship & Advertising business continues to grow. We look forward about 80% of our plans, Sponsorship & Advertising for the year. Contracted sponsorships revenue is up 11% from this point last year, and we're now driving online advertising growth needed to deliver on our full year growth expectations. Sponsorships growth is coming from continued success for both festival platform and the additional and expansion of strategic relationships with major brands, including Budweiser, SAP, Kellogg's, Hertz and Citi. On the advertising side, we have a two-part strategy. First, we are growing advertising from the traffic coming to our site, up 23% in the past quarter as we added more content in Live Nation.com and relaunched our EDM content and insomniac.com. And second with Yahoo!, we now have launched our Live Nation channel, streaming a concert a today. Going forward, we see great opportunities for additional programming with Yahoo! and other distribution partners, which we believe will drive continued advertising growth. And finally, Ticketmaster is now delivering on its potential. With our technology investments powering new fan products and setting the foundation for continued growth. Our top product focus for the past year has been TicketMaster-Plus. And in July, we expect a 90% year-on-year increase in global secondary GTV, driven by a 600% increase in secondary concerts activity. This product has now been widely accepted by fans, teams and artists alike, and as a benefit to them, selling more tickets and keeping the secondary value within the content ecosystem. And as a result, we expect to capture over $1 billion in resale GTV since our launch last September through the end of this year. In primary tickets, we have sold $10 billion worth of tickets in the first half, and we continue to see a rapid shift to mobile ticketing, with nearly 40% growth in mobile ticket sales this year and 17% of tickets now purchased on our mobile platforms. As we have improved the ease by which the fans can buy, transfer and sell their tickets, and with 60% of tickets in North America now able to enter a show with a mobile bar code, we expect this to continue driving mobile growth and further Ticketmaster's distinctive proposition both fans and venues. As a result, we expect to deliver a net renewal rate of over 100% at Ticketmaster for the fifth straight year since the merger, clearly demonstrating that our investment at Ticketmaster are paying off and the confidence our partners have in the future of Ticketmaster. 2014 continues to be on track and I expect the company will deliver our fourth consecutive year of revenue, AOI and free cash flow growth and grow the profitability of each business. Longer term, I continue to see great ongoing growth opportunities for the company. The underlying demand for Live continue to be strong globally, and as one of the few truly borderless businesses we have numerous opportunities to increase our market share, and we have now shown that we can effectively drive scale in concerts and from that build our Sponsorship and Ticketing businesses, therefore, growing revenue, AOI and free cash flow. I will now turn it over to Joe to take you through the update of the divisions.
Joe Berchtold: Thanks, Michael. First, concerts. As I indicated on our last earnings call, with the timing of shows this year, our Q2 had lower show count than Q2 2013. As a result, revenue declined 2% and AOI is down 13%. Specifically, as I previously indicated, we had a substantial shift of arena activity from Q2 into Q1, so arena attendance for the quarter is down 14% though up 6% in total for the first half. Similarly, we're expecting our festival activity to weigh more heavily to Q3 this year and give us mid-single digit festival attendance growth for the year, despite Q2 festival attendance being down for the second quarter this year. Looking more broadly at other indicators, we're confident we will increase our market share and fan base this year. First, as Michael said, all of our tickets sold for the shows this year is over 42 million as of July 21, up 3% from this point last year. Our attendance per show was up 4% in the first half, led by arenas and stadiums. Also, as of the end of the first half, for the first time in the company's history, we sold over 2 million tickets per a single act, One Direction, which is in the midst of a highly successful global stadium tour. And this is indicative of the broad demand for concerts across all genres, venue types and markets. With our list of top-selling artists continuing to be diverse with such artists as Justin Timberlake, Jay-Z and Beyoncé, Luke Bryan and Lady Gaga. As a result, we're also seeing tremendous growth in our stadium business, which we expect to be up over 50% for the third quarter. And with this demand in the third quarter, we expect to achieve record attendance at our shows of 23 million fans in the 3-month period alone, which will put us up 4% through the first 3 quarters relative to 2013. And as a result, we believe any short-term timing on shows will be more than caught up over the next 2 months. And for the full year, we expect to build our market share, grow attendance and deliver double-digit AOI growth in concerts. On Artist Nation. For the quarter, both revenue and AOI are down on the division, driven by a combination of timing with our managers and their acts and are discontinuing some services in the division compared to last year. Despite this, revenue is up slightly for the first half and AOI remains up double digits year-to-date. And looking forward to the full year, on the strength of these new managers and artists that Michael discussed, we expect AOI to grow double digits for the business. Turning to our Sponsorship & Advertising business. For the second quarter, revenue was flat and AOI up 4%, while for the first half, revenue is up 4% and AOI up 6%. The first half strength was driven by our sponsorships business in particular, as we had strong increases in our electronic festival and strategic sponsorship basis. The online part of the business is more heavily weighted in the second half this year with programs like Yahoo! as we discussed on our last earnings call. And we have been investing to get our full sales infrastructure in place in advance of this growth. At this point, with about 80% of our expected Sponsorship & Advertising sold for the year, we expect to deliver AOI growth for the year -- full year consistent with the past couple of years. Finally, Ticketmaster. For the quarter, Ticketing revenue was up 10%, while AOI was down 1%. And for the half, revenue was up 9% and AOI is up 7%. Our primary ticket sales were up 2% for the quarter and up 1% for the year through July 21. Secondary ticket activity has been particularly strong, as Michael noted, and is up over 30% through the first half with similar growth expected through the rest of the year. There was a slight margin impact for the quarter and half driven by our increased spend on consumer facing web and mobile products for both primary and secondary ticketing. We expect this to come back in the second half as we continue to scale the businesses and deliver margins in ticketing for the full year consistent with last year. Looking then in totality of ticketing for the full year, we continue to expect low single-digit growth in primary ticketing volume, strong growth in secondary GTV and low mid-single digit growth in ticketing AOI. Overall, 2014 is shaping up well as we expected. Beyond sales and concerts and ticketing sales trends overall give us visibility into the back half of the year, and we're confident that we will again grow our businesses in 2014 and continue on track to deliver our 3-year plan in 2015. And with that, I will turn the call over to Kathy to take you through more details on our financials.
Elizabeth K. Willard: Thanks, Joe, and good afternoon, everyone. I will start with our results for the first half of 2014. Revenue for the 6 months was $2.8 billion, up 7% compared to last year, driven by concerts revenue increasing by 8% from higher arena, amphitheater and global touring activity. Ticketings revenue grew 9% in the first half due to higher primary and resell ticket volume, along with higher average ticket prices. AOI for the first half of the year was $225 million, up 6% over last year with improved performance across all of our segments. Concerts AOI increased 17% to $35 million from higher amphitheater, global touring and EDM results. Ticketing AOI was $147 million, up 7%, driven by higher global primary volume and average ticket prices due to mix of ticket types and improved secondary ticket sales. Sponsorship & Advertising AOI was up 6% to $75 million, driven by growth in strategic sponsorship programs and increased sales for EDM festivals. And Artist Nation AOI was up 12% to $8 million, driven by higher Artist Management activity. Corporate costs were up $3 million for the first 6 months, but we expect that these costs for the second half of this year will be more in line with the costs in the second half last year. Operating income was $43 million for the first 6 months versus what would have been $34 million in operating income last year without the $31 million higher gain on disposal of assets due to the sale of our New York theater and insurance recovery from hurricane damage that we received in 2013. Our 2013 reported operating income was $65 million. Net loss for the first half was a loss of $10 million, compared to what would have been a loss of $36 million in 2013 without the higher gains on disposal. Net loss on a reported basis for last year was $5 million. Turning to the details for the second quarter. Revenue was $1.7 billion this quarter, down 1% from last year, driven by concerts revenue decline of 2% from the shift of arena shows into the first quarter this year. Adjusted operating income for the second quarter was $142 million, down 11% year-over-year. Concerts AOI was down 13% to $37 million, impacted by the shift in arena activity the first quarter. Ticketing AOI was down 1% to $77 million. We saw growth from higher volumes across primary and resell, along with higher average ticket prices in primary, but the AOI was impacted by the investments in our technology products, along with not having the legal settlements we received last year. Sponsorship & Advertising AOI was up 4% to $49 million, driven by new and expanded strategic sponsorship programs and increased sales for EDM festival. And Artist Nation AOI was $3 million, down $5 million from last year due to the timing of artists tours and the discontinuation of certain services in this segment. Operating income was $56 million this quarter versus what would have been $71 million last year without the $26 million higher gain on disposal in the quarter. On a reported basis, our operating income was $98 million last year. The decline in operating income after the effect of the higher gains was primarily driven by the lower AOI in the quarter. Net income was $23 million this quarter versus what would have been net income of $32 million in 2013, again, without the higher gains on disposal. Net income on a reported basis for last year was $58 million. For the first half of the year, free cash flow was $110 million as compared to $117 million last year, impacted by the timing of payments and noncontrolling interest holders, which were $16 million higher in the quarter -- I'm sorry, in the 6 months. Free cash flow for the second quarter was $76 million versus $103 million last year with the decline coming from lower AOI and the timing of distributions to partners. Given our expected growth in AOI for the full year, we expect that free cash flow for the year as a percentage of our AOI will be roughly in line with 2013, up from the levels we have seen in 2011 and 2012. Cash flow from operations was $338 million for the first 6 months, down $42 million the last year due to higher payments for event-related expenses for concerts in the second half of the year, without the benefit of the cash related to the ticket sales of third-party buildings, since we don't receive those moneys until the show happens. As of June 30, we reported total cash of $2 billion, which includes net proceeds of $515 million from the May 2014 issuance of new senior notes and new convertible senior notes, and before the repayment of the $220 million of original convertible debt. Additionally, total cash includes $577 million in ticketing client cash, and $555 million in net feature concert event-related cash, leaving a free cash balance of $910 million. Total event related deferred revenue as of June 30 was flat to last year at $858 million. As we have noted, we expect increased stadium activity in the third quarter, and as of June, our total ticket sales for stadium events in the second half of 2014 are up more than 50% over last year. Since we do not receive these events ticket sales at venues in which we don't own or operate, these stadium ticket sales are not included in our June balances for deferred revenue, cash or in cash flow from operations. Our total capital expenditures year-to-date were $61 million with $32 million set for maintenance CapEx and $29 million on revenue-generating additions. For the full year, CapEx is expected to be approximately $135 million, which is consistent with our expected rate of about 2% of revenue, and around half of this will be spent on revenue-generating projects, including Ticketmaster technology products. In July, holders of $29 million of our 2.875% convertible senior notes put their notes back to the company for repayment. We are now in the process of redeeming the remaining $191 million of these notes and expect to complete the process by late September. As of June 30, our total debt was $2.3 billion, which includes the $220 million of convertible senior notes. Our weighted average cost of debt, excluding debt discounts and including the debt premium is 4.2%, and without the addition of convertible debt, this weighted average cost of debt would have been 4.3%. Our debt covenant currently requires a maximum leverage ratio of 5.25x, and we are comfortable in compliance with this as of June 30. After adjusting for the expected repayment of the $220 million of convertible debt, our debt leverage ratio is comfortably less than 4x for the period. Looking forward, we continue to expect to deliver growth in revenue, AOI and free cash flow in 2014, and to grow the overall profitability of each of our segments, while continuing to invest in and to build our businesses to set them up for continued growth. Thank you for joining us today. And we will now open up the call for questions. Operator?
Operator: [Operator Instructions] And we'll take our first question from Vasily Karasyov with Sterne.
Vasily Karasyov - Sterne Agee & Leach Inc., Research Division: Just to clarify that did I understand correctly that you say that some of the year-over-year declines in the quarter for some segments, that's expected and nothing changes with the full-year guidance and your 3-year guidance? And then I would like some commentary please on where potentially could you go for acquisitions, now that you have so much cash on the balance sheet. And should we expect the order of magnitude of potential deals to be outside of historical range than where it was in the past 3 years?
Michael Rapino: Thank you. Yes, to the first question, yes. As most of you know, we had a record year last year in attendance and concerts. We had a high bar, and we expected this year to beat last year from overall revenue, and then ultimately AOI and free cash flow. When you're looking at the year versus last year, we had an exceptionally strong Q1 this year. We knew last year was a strong Q2. Have lots of certain tours on the road at that time, and we knew that we're going to have a very strong Q3 this year. So we knew in totality we look at the year in total, whether Jay-Z and Beyoncé tour in June or July, we're not sure at the beginning of the year, but we knew our Q3 was going to be very strong. We weren't obsessed with leading our Q2 last year, we didn't do the activity there, but we know on a year-on basis we're going to end up exactly as we planned, growth AOI, revenue, free cash flow and finish off another record year. As far as...
Vasily Karasyov - Sterne Agee & Leach Inc., Research Division: Acquisition?
Michael Rapino: Yes, as far as acquisitions, you're going to continue see us look on a global basis. I referenced that this is a unique industry, it's borderless unlike most media entertainment with many regulations that they have around the world and what markets they can own what they can't. This is a borderless business. And that's why we're in 40 countries and counting. Our products called the tour, Jay-Z, Beyoncé, our global brands and becoming more and more global daily, thanks to the world wide web and connected world. So we're going to continually build out our platform in markets, and you're going to see us make sure that we protect our portfolio of festivals and grow those, and continue to look at any acquisitions that will further our ticketing portfolio. So open and always looking for the accretive deal that can help grow our business long-term.
Operator: And we'll take our next question from John Tinker with Maxim.
John Tinker - Maxim Group LLC, Research Division: Could you just talk a little bit about that ticketing margins in the quarter? And given that StubHub now appears to be stumbling a little bit from layoff. What is the kind of margin we should be expecting or should think about from a secondary ticket sales, which obviously, I think you highlighted were up 30% the first half of the year?
Joe Berchtold: John, this is Joe. So on the margins for the second quarter, as I said on the call, it's simply a matter of a little bit of lumpiness in terms of some costs that we have with product development focus for both the primary and secondary products. And in totality, you should see margins for ticketing consistent with last year's margins. Secondary, at the end, obviously, builds our volume, builds our scale, which is great. It's not structurally different from primary, and it's overall economic so it becomes the same ballpark of contribution margin and AOI. But obviously, as we continue the strong growth in that business, it continues to give us more scale at Ticketmaster, which then, over time, will drive both the AOI and the cash. So we're very happy with how it's done. Michael gave the numbers on a [indiscernible] blockbuster July that we have, which is really a concert-driven month if you look at the seasonality of the sports weeks. And overall with 30% growth through the first half and that kind of in totality expected for the full year, it's clearly very, very strong growth.
John Tinker - Maxim Group LLC, Research Division: Just a quick follow-up. The Concert business with Yahoo! which I think is most innovative. Which line are you reporting that revenue in? And secondly, what -- how material is this in terms of absolute dollars? How many listeners might you get?
Joe Berchtold: So the streaming of the concerts feel that the advertising against those shows is part of the Sponsorship & Advertising segment. Obviously, the concerts themselves, because those are -- all our concerts is in the Concerts segment. And given the timing of the rollout of the shows, it started in July. So it obviously is going to be a second half set of economics. We obviously expect and Yahoo! expects to have attractive Sponsorship & Advertising against the shows well in excess of the cost of the shows. We haven't broken out specific viewership at this point. We may later on, but we haven't done that yet. More broadly, we look at this as this is the launch of our first show. And we're shipping out to where we're not just monetizing the $30 million odd unique to comes to our Live Nation and Ticketmaster platforms every year. But we're truly monetizing the 23,000 shows and 60 million fans we have, working with other partners that have tremendous distribution reach and taking that monetization to another level. And we expect this we deploy more programs that just collectively builds up to be a significant scale and is one of the key drivers of our ongoing strong growth in the Sponsorship & Advertising business.
Operator: And we'll take our next question from Amy Yong with Macquarie.
Amy Yong - Macquarie Research: Two questions. First on Advertising & Sponsorship. You're 80% sold out at this point, and it's July. Can you just help us think through the cadence of the growth for 3Q and 4Q? And, obviously, 3Q is seasonally strong and you have the Yahoo! deal, but if could you just help us think through the cadence of the growth and also the margin profile for 3Q and 4Q? And then my second question is on Artist Nation. Can you just help us walk through the reduction in the quarter related to the VIP and the outsourcing? And is that something that we should be thinking about going forward? And then I guess, the 2 acquisitions that you made in the Artist Management business.
Joe Berchtold: Sure. So on the -- let me work backwards, on the Artist Nation, I think we stopped doing some VIP and other programs in that business. The concert business decided that it was better to do it in-house as part of their touring activities. So it's within -- still the overall Live Nation activity is occurring, it's just a shift, really, from your perspective. There was a bit then of other just tiny seasonality on some of the merchandise sales side and the overall Artist Management, but again, that's just timing similar to our concerts timing a bit first versus second versus third quarter. We expect that piece of it to catch up without any issues. On the advertising and sponsorship piece. So when we say 80% sold, that is against the total Sponsorship & Advertising that we expect to be sold for the year. We sold about 80% of it today. That's pretty consistent with what we would have sold last year in terms of the percent total sale. It's early front half loaded for the sale of it, the execution and revenue recognition of that Sponsorship & Advertising then takes place in a cadence over the course of the full year. I think for the second half, we gave the numbers, and we expect our total AOI growth to be consistent with the past few years. I think as we start to see some scaling on the advertising side of it, you see the margins in the back half looking more like the margins would have last year. I think in totality, I don't have all the numbers in front of me, that would put us sort of slightly lower margin, but still in the kind of the 65% to 70% range for the business for the year.
Elizabeth K. Willard: And Amy, on that Live Nation activity, we moved that out in third quarter of last year, so you'll be consistent year-over-year from that plan.
Operator: And we'll take our next question from David Joyce with International Strategy and Investment Group.
David Carl Joyce - ISI Group Inc., Research Division: A couple of things. On the excess free cash that you have now after the convert redemption, how quickly do you expect to deploy that? Is the majority of that going to go through the Latin American opportunities you've mentioned earlier, or perhaps by the end of the year? How should we think about that?
Michael Rapino: Well, there's no timeline. Our job has been to grow the business over the last few years, start to generate some considerable cash flow that we can invest back in the business. We've been doing that, and we are always running around the world looking at opportunities in all of our markets that we think can help grow our business. So no timeline. If the opportunity is right, and we think it's an asset that can help leverage our core businesses within, we would look to do something. But we have a strong global platform. We're going to grow this business organically and the rest of the acquisitions are opportunistic if we think they can help accelerate growth in any of our course.
David Carl Joyce - ISI Group Inc., Research Division: All right. And separately, the international events independents were down in the low double digits in the second quarter. Is that primarily where you're seeing the shifting of events? I know you've talked about having more stadium events in the third quarter, so does that mean the stadium events were internationally based? I was just wondering if any festivals of note were shifting into the third quarter.
Michael Rapino: No. I mean, generally, when we look at the year, we tend to have a good view on the year obviously, by March and April, we tend to know kind of what is exactly going to be going on throughout the year from a stadium to a festival to an arena tour. And nothing inconsistent in any business that we didn't predict, meaning whatever is soft or down slightly in Q2 was probably up in Q1 in the arenas in Europe. We will be stronger in Q3 in the back end festivals in Europe. So again, just on an annual basis, we see a totality of all the different segments will be growing.
David Carl Joyce - ISI Group Inc., Research Division: And finally, I don't think you've mentioned it, but when do you think you'll be done with the sort of incremental or the doubling of expenses on that Ticketmaster replant forming? Has that been accelerated somewhat?
Joe Berchtold: David, it's Joe. With regards to the stand on Ticketmaster, I think, at this point, we feel like we've gotten through the bulk of that spend as it relates to revamping the core search inventory management system checkout, and we now deployed major product using the new technology meaning the TicketMaster-Plus. What we're also seeing is that as a technology business, you have to continue to deploy great new products, and you see TicketMaster-Plus with their view from the seats and other innovations and the mobile coming out with new products. So as Kathy gave you guidance on with overall CapEx levels, I think you'll see some continued investment in Ticketmaster as we go forward given the nature of its business today.
Operator: And we'll take our next question from Doug Arthur with Evercore.
Douglas M. Arthur - Evercore Partners Inc., Research Division: Kathy, the number that jumps out to me is the SG&A number in totality up 10% and particularly, I mean you site some acquisitions as driving big increase in SG&A at Artist Nation. Was that -- I mean, is the SG&A in line with your expectation? And is this part of the whole timing issue where you continue to spend, because you expect to get a lot of the revenues back in the third quarter? Can you just put some perspective on that?
Elizabeth K. Willard: Yes, there's some FX impact, which we've called out. That's impacting that, but yes, it's timing within Ticketmaster, it's timing at some third-party consulting, in corporate. And yes, it's in line with where we expected this year to be at this point. And obviously, another thing I mentioned, I guess was the, we had some legal settlements in Ticketing last year, which we have reduction on those costs. And so year-over-year, there is an increase on that.
Douglas M. Arthur - Evercore Partners Inc., Research Division: Okay, right. And then in terms of the specific increase in Artist Nation, I mean could you site some acquisition-related reasons, but I mean that really jumped up a lot in that smaller segment.
Joe Berchtold: Yes. I think there's some timing there in terms of some payouts that we had with some managers on some of these acquisitions that made it much lumpier than you would normally expect SG&A to be.
Operator: And we'll take our next question from Rich Tullo with Albert Fried & Company.
Richard Tullo - Albert Fried & Company, LLC, Research Division: Real quick. With the cash available expanding to $910 million, you have the convertible call coming up. Does it make -- since your leverage ratio is way down, does it make any sense to take on some debt and restructure the balance sheet a little bit and buy back some stock?
Elizabeth K. Willard: Rick, I think that's what we did in May, getting ready for that convertible coming up. And because we felt the market was right, and we've got good pricing on it, we borrow that from now, which is obviously driving a lot of that free cash, which is the $500 million that we just recently borrowed.
Richard Tullo - Albert Fried & Company, LLC, Research Division: Second question. Have you guys been investigating at all the ability of Live Nation to take some real assets and turn them into REITs?
Joe Berchtold: Yes, we've analyzed this over time. It sounds good on theory, but we don't actually really own real estate. Both of the business you see when we say we own and operate is just city leases. So Jones beach in New York, we don't own that asset we're just having it leased to operate it, and all the economics are in the operation of it. So if you tried to take any of those assets and put them in another REIT, you have no core business operating revenue coming back to you. So we have looked at it over the years, we don't have enough assets that would produce the return we would expect.
Operator: We'll take our next question from Martin Pyykkonen with Rosenblatt Securities.
Martin Pyykkonen: I don't know if you said this, but as far as Q3 that we're now another point here in Q2 was hard fewer concert arena shows. Can you at all quantify how much more you have as far as the shows, the number shows and/or for Q3? I'm not talking about ticket goals. And then looking into Q4, I speak if I remember it last year this time, Q4 was looking pretty good from a show inventory standpoint. I'm wondering how that looks this year and what you're sort of factoring into your guidance for the full year, probably can back until you just maybe pull out Q4 even though it's far off, I'm not talking again about tickets sold, or the outlook for ticket sales in the Q4, just for show inventory.
Michael Rapino: Yes. So on Q3, what we said is we expect to sell sorry about 23, sorry about that -- have attendance of about 23 million fans. So collectively through the first 3 quarters we're up 4% year-on-year. I believe last year's Q3 attendance was just over 21 million. I don't have the exact number in front of me. As regards to Q4, we think it's solid, there's still of pieces of that in motion, but we think -- we'll be solid and will lead to what I said is a double-digit growth in concerts AOIs for the full year.
Martin Pyykkonen: Okay. And just, I know it's not a big number in the big picture for you, but the alley form was in your backyard almost about 6 months now starting with the eagles. Can you talk at all about what your sort of market share is, number shows are actually going on there with respect for capacity utilization. And I'm assuming you have pretty good market share. Obviously, it is in the area a bit more dedicated to stable and so forth. Any color on the alley form in terms of how that is going for you and how meaningful.
Michael Rapino: When we back for the MSG, the call. We're -- MSG in general is a great partner to us both in New York and L.A.. They are long-term and continued Ticketmaster and TicketMaster-Plus clients, and we have been very successful and in form this year promoting a lot of concerts in that venue. So any place the ticket is sold under Ticketmaster with our concert the economics are good for us. So the venue has been a success for us, we've sold lots of tickets, and it's good to have another option in any market for our content.
Operator: And we'll hear again from Rich Tullo from Albert Fried & Company.
Richard Tullo - Albert Fried & Company, LLC, Research Division: The last time you talked about market share in the secondary market, you're around 10%. Are we approaching a number like 20%, 25% now?
Joe Berchtold: Well, we said it's up 30% for the first half and expect it to be 30% for the full year. So maybe 30% to 10%, it's not quite that high yet.
Operator: [Operator Instructions] And there are no further questions at this time.
Michael Rapino: All right. Thank you.